Bilal Aziz: Good morning, everyone, and welcome to the conference call for Pandora's Full Year 2025 Results. I'm Bilal Aziz from the Investor Relations team. I'm joined here by CEO, Berta De Pablos-Barbier; CFO, Anders Boyer; and the rest of the IR team. As usual, there will be a Q&A session at the end of the call. If you could kindly limit yourself to 2 questions at a time, that would be great. Please pay notice to the disclaimer on Slide 2 and turn to Slide 3. And on that note, I will hand over to Berta.
Berta De Pablos-Barbier: Thank you, Bilal, and welcome, everyone. Well, we have a lot to cover today. So, I will begin with our fourth quarter performance before outlining how we plan to reignite growth through a recalibration toward desirability-led growth. I will then cover the creative innovation, addressing high silver cost mitigation. Now, I am sure that most of you are aware that we preannounced in January the quarter 4 results. So, let's quickly see how the final and total results shape up. As a reminder, we ended the year with 2% like-for-like growth and Q4 at 0%. These results were, of course, below our expectation even against a weak macro drop, and we do see clear areas where we can drive better performance. Now on the positive side, our profitability remained very solid throughout the year, and we ended the year broadly as expected. This reflects our high gross margins where efficiency initiatives and pricing actions helped offset most of the external headwinds. Now when we combine this with very good cost control on OpEx, our EBIT margins ended the year around 24% again, 24% with the vast majority of the pressures we face. It's worth also remember how quickly the environment has changed. I mean, 12 months seems like a very long time ago now. But this time last year, our guidance assumed no tariffs and a silver price of around $32 per ounce. Now, let's move into some of the details of the quarter. So next slide, please. By collection, you will see that the Core delivered 1% like-for-like growth in 2025 with quarter 4 ending flat. Talisman, the new collection contributed positively in quarter 4, which was very encouraging to see. Now it remains a relatively small collection, but we are pleased both with its performance and the consumer attention and consumer acquisition it has generated, and we are going to continue to build on that momentum on 2026. In Fuel with more, like-for-like growth was disappointed at minus 3% in quarter 4. I will touch later on our plans on design and how we intend to reignite growth in both Core and Fuel with more. In short, this is going to be about sharpening where we focus our design efforts, bringing greater creative energy to the Core and more confidence and scale to Fuel with more. Next slide, please. Now going forward, you also will hear me speak as much about earned media impact as about reach. And this slide actually illustrates why. Over the past year, we have increased our presence at highly relevant cultural moments from major fashion awards to global platforms such as the Met gala, the BAFTAs and the Grammys. This activation have generated high-quality coverage and increased media impact value, helping to build brand desire over time, brand desirability, which is one of the most important drivers of sustained long-term growth for Pandora. In quarter 4, very specifically, we aired our Christmas campaign. It relied predominantly on traditional media and delivered a modest uplift in traffic. The learning is very clear. Going forward, we need to combine paid reach with earlier and stronger earned media impact that will be enabled through PR integration and very culturally relevant activation. Now all of this must, of course, be anchored in a strong design offering, which I will touch shortly. Let's go on to the next slide, please. While many of you are already familiar with the regional performance, so I'll just only focus on a few highlights. Let me start with EMEA, our largest region that is predominantly Europe. In quarter 4, EMEA delivered minus 1% like-for-like growth. Performance varied by country. And while some markets performed well, the overall results reinforces the need for the targeted strategic shift that I will outline. At country level, a few markets are worth calling out. Spain continued to perform very strongly in quarter 4. And this is a clear example of a mature market where sustained brand heat continues to drive customer acquisition, showing that there is no fixed ceiling to grow for Pandora. Italy, by contrast, saw a weakening in performance. Now, while some action delivered very encouraging early signal, the outcomes underlines the need for a more decisive change in how demand is activated in mature markets. I will address this later. Now, let me move to North America. Like-for-like growth was 2% in quarter 4, which was slowing versus Q3. We discussed in January the macro environment that weighed down on consumer confidence and in-store traffic. That said, brand strength in the U.S. remains very solid. And with only around 2% market share, the long-term growth opportunity remains very significant. Latin America growth was minus 7% in quarter 4. We are implementing a new pricing architecture in January. And so far, we are encouraged by the initial response. Finally, Asia, we delivered positive growth at 2% like-for-like growth, and Japan continues to perform very well and provides a positive reference point as we shape our future approach in the region. With that context, I'll move on to the next slide, please. Another area, which I will remain very consistent is the role of our stores in driving desirability and elevating brand perception. We have made strong progress over the few years and the economics of our store network remain highly attractive. By the end of last year, approximately 800 stores have been converted to the new format. In 2026, we will continue this momentum with the rollout of new digital windows displays across many stores, which are designed to improve visibility and drive traffic. That said, like any strong brand, we will not stand still. We see further opportunities as well to evolve our store layouts, increasing traffic flow and presenting Pandora more clearly as a desirable destination. With that, I will hand over to Anders to walk you through the quarter 4 metrics before we look ahead to what come next on the strategic shifts. Anders?
Anders Boyer-Søgaard: Thank you, Berta, and good morning. Then please turn to Slide 10. Berta has already commented on the revenue metrics. So, I'll rather focus on some of the other metrics on this slide. And the key message from us is that despite the soft top line and the significant external headwinds, then our Core P&L, balance sheet and cash metrics remain healthy. And that demonstrates in many ways, the strength of our business model and agility on the cost base. In the fourth quarter, our gross margin ended at 78% and thereby it was down 170 basis points versus last year and that's driven by a quite heavy 310 basis points of headwinds from tariffs, foreign exchange and commodity prices. So, this means that we continue to offset quite a decent amount of the headwind through cost efficiencies in our vertically integrated value chain. And then at the same time, our price increases do support the margin as well. I also just want to touch on the working capital. And as you can see here, we have circled in 2 numbers on the slides. That's including and excluding commodity hedging. And the 4.1% net working capital includes some quite significant unrealized commodity hedging gains. So, to really understand the performance, it's better to look at the KPI, excluding commodity hedging. And here, you can see that working capital is still in negative territory, and we are quite pleased with that. Next slide, please. Here, we break down revenue growth in the quarter. Berta has already covered the key elements. And as we think the bridge is quite straightforward, we will just move on to the EBIT margin bridge on the next slide. And the short story here is that the EBIT margin played out in line with our expectations and in line with the guidance. And even though I -- in a way, I don't like saying this, then delivering an EBIT margin, which was only down around 100 basis points, that is quite a good outcome with all of the headwinds that we saw in the quarter. And those headwinds are shown in the light pink bar on the right of the bridge, the 440 basis points of in minus and being able to offset the majority of that speaks to some good discipline across the company and agility following the lower revenue growth in 2025. This doesn't mean that we don't have the ambition to offset all of the headwind, but it will take a bit of time, and we will speak more about that later today. I would also like to note that the OpEx ratio actually declined on a constant currency basis, both in Q4 and for the full year as well. So, we have been executing on the Silverstone cost program, and it's quite good to see that the savings are coming through to help the bottom line. And on that note, I'll hand back over to Berta to walk through how to reenergize growth.
Berta De Pablos-Barbier: Right. So, I mentioned a few weeks back that as the new CEO, my focus is to strengthen brand desirability and to deliver sustainable long-term growth. I've been CEO for just over a month and in the business for over a year as CMO. But I want to give you today my initial thoughts on Pandora. First, it is very clear to me that Pandora has many untapped growth opportunities. I am incredibly excited of what lies ahead. Our overall goal is to continue to build the most desirable accessible jewelry brand. This is a company built on very strong foundation. We are a category leader. Our brand is healthy, and our collections are solid. When you combine that with a vertically integrated value chain and a wide array of in-house crafting capabilities, you have a clear competitive advantage that allow us for scale, speed, agility and notable cost advantages. All of this together is a recipe for a very attractive business model and good runway for profitable growth. So the question, of course, is how can we leverage off all these competitive assets to drive profitable growth well into the future. My priorities are to reignite growth and to reduce the commodity exposure to underpin our strong business model. All of this then is strictly while retaining the Pandora DNA and purpose. Now as I mentioned in January, after several years of outpacing the category and driving solid growth, we are operating in a more complex environment, and that require us to be more demanding in how we generate growth. While the current model works well in low penetration markets, we do need to be sharper when we execute in other markets. And this means that we have to course correct where momentum has softened. So, let's see some of the changes and how they look like in the next slide, please. Now it's not on this slide, so I'm just going to explain it because this shows how we are evolving Pandora growth engine for the next phase. We will remain centered on recruiting new consumers into the brand, and this has not changed. Now what has changed is our understanding of what drives that recruitment as the brand and our markets mature. Under Phoenix, we rebuilt a strong foundation for Pandora. We strengthened our Core collection. We restored brand awareness through paid media, and we delivered solid like-for-like growth. That what matter. It matters a lot because it took us to where we are today. Now it's clear that what took us here is not going to take us into the next phase. As Pandora matures, growth is increasingly driven by desirability rather than reach alone. We are, therefore, sharpening the growth engine across 3 connective things: design, brand and markets. Let me start by design. Our focus clear is on reenergizing all collections. Our Core need greater distinctiveness, greater uniqueness to reignite desirability, while our smaller and underrepresented collections need more depth, need more products, so they can scale their growth. On brand, we are evolving from a fundamentally model that it was awareness led with paid reach to cultural relevance with earned media. Earned media will be a Core KPI to drive efficiency. It's not an afterthought. It's a dedication as it increased traffic and demand activation. On markets, of course, these 2 levers means that we will be moving away from a one-size-fits-all model. We'll be calibrating the growth engine by market and brand maturity. We'll be prioritizing desirability in high penetration markets, while we will continue to invest in reach where penetration still remains low. This is an evolution. This is not a reset. It builds on what has worked and strengthens Pandora growth engine for the next phase of value creation. Now, I'm going to deep dive into design and brand with proof points that show how this approach is already working. Now you will have to indulge me because this is going to be a little bit of a detailed presentation, but I think it's important into getting the full understanding. Next slide, please. So let me start with design. So, this slide explains why design focus is such a powerful growth lever for Pandora. If you look at the left side, it shows where we operate today. The first bar is the aesthetics of the market under the $500. And you can see that a large share of our business, and by the way most of our newness is concentrated in a relatively narrow aesthetic space. This is the one that we call playful and is where the majority of our Core with moments works today, but it's also the most mature part of the portfolio. If you move to the right, the design effort column shows that we have put most of our design focus where the biggest -- where the business is biggest with very similar product repeated over time. In very simple terms, basically, we've been doing more of the same in the same place for the same people. Now the chart on the right, at the full right shows where growth actually has come from. And you see that actually underrepresented aesthetics on organic on fine, on bold is actually where the growth comes from. So underrepresented aesthetics account for a much smaller share of our newness, yet they are delivering disproportionate share of incremental growth when we actually focus creatively on them. So the issue, you might think is the number of products, but this is not. The issue is not the number of products, it's how and where we deploy them. Going forward, we will keep the same level of newness, number of devices, if you wish, but we will deploy them differently. The Core aesthetics need greater uniqueness, greater distinctiveness to reignite, to reenergize demand. Now there is plenty of playfulness and creativity that we can still bring to playful. While the underrepresenting aesthetics need more depth and more products to unlock their growth potential. So, this is not either about entering new aesthetics, it's about doing better where we have already started to play. Essence that was launched 2 years ago and Talisman just last year are very good examples of that. This is how design focus will unlock growth, not by doing more, but by doing the right things in the right places. I mean, after all, all this is simply about keeping the brand desirable and contemporary. So let me just conclude to land the message here. Pandora will become a more design-led with a clearer collection strategy and a more disciplined product development. We will ensure that design effort is focused where it creates the greatest impact. Newness will be rooted in consumer insight, trend research and commercial analysis, which will allow us to deploy the same level of new products more effectively across the portfolio. And last, greater creative distinctiveness and better deployed newness will translate into growth by strengthening desirability. It will activate demand, traffic and therefore, will support our like-for-like performance over time. You are going to start seeing the first effects of this towards the end of this year, and the impact will be more visible through 2027. Now in order to support this shift, this strategy, we are strengthening our ELT. We announced as well that we have a new Chief Product Officer. Philippa Newman will be joining in March and will oversee product end-to-end design, collection management and development. This will strengthen our ability to translate a strategy into execution and to ensure that the creative efforts are placed where it matters the most across the collection. Let's go into next slide, please. Now, I'm going to deep dive on brand as well. Now of course, with any design, any brand, anything that the brand does only works, you actually notice it. You can have great product designs, but if not one is talking about them, what is the point about the whole thing in the first place. Historically, Pandora has been very strong at driving reach, and we actually built industry-leading awareness. This is hugely important, and this has helped created the healthy brand that we have today. But as the brand matures, awareness alone is no longer the constraint. We see this very, very clearly from our assessment, and we see that very clearly from our results as well, is that the role of brands now shifts from reach to relevance and from only visibility to being part of the conversation. And this slide shows this clearly again, and I'm illustrating this with the 2 markets I mentioned before, Spain and Italy. Spain and Italy are 2 mature markets of comparable scale, but with very different media models. Spain has been more heavily into activating PR, press and influencers and as a result, has generated earned media and cultural amplification year-after-year. On the other hand, Italy has historically relied on more traditional paid reach and on traditional TV campaigns, with very little activation of the earned media generating tools. I think the outcome is very telling. Sustained earned media in Spain has driven growth year-after-year through customer acquisition and broader momentum across all collections. We are not sharing actually the same chart as well, but it's important to know that all collections generating growth in Spain, which actually core growing at plus 17% and fill with more at a high 24% in Spain. In other words, where Pandora is covered by press and influencers, they talk about all the collections. The brand shows up its full jewelry portfolio. It builds momentum and it compounds growth. Importantly, as well is that, we tried this with Italy this year with the launch of the Talisman collection. And that show us well in that market that when distinctive newness is supported by a different media approach, customer acquisition improves. So this also gives us confidence that this is not a market-specific setup is scalable in other markets as well. So let me finalize this with summarizing the conclusion about what I've been sharing with you on the brand part. We start by distinctiveness, bringing uniqueness things that create the spark. This actually gives people, our consumers something new, something that is truly worth talking about. We then use earned media that carries the story, press, influencers present Pandora wider jewelry offering, bringing multiple collections, all the products into the conversation. Conversation turns into traffic, demand and revenue. So, this is simply how distinctive designs and earned media together become leading growth drivers. So, in short, we will be moving from saying and showing the same thing to the same people to letting different parts of the brand speak to different consumers in different ways. Now of course, you will have the question about when and how we are going to be seeing these changes and how and when these changes are going to be translated into business. Listen, we are already moving at pace. And I'm basically going to keep you very closely engaged throughout the year. In the coming months, of course, we will maximize the impact of our existing collections with earned media, but the full evolution of this interdependent communication model will follow next year. So, 2026 is expected to be a year of transition, and we expect to reap the benefit of these changes in 2027. Now, this addresses 2 main areas that we'll be addressing to organic growth, and of course, now we go into how we are addressing the commodity pressures we've been facing. So, if we can please move to the next slide. Now, I'm sure you all have noticed that one of the headwinds facing Pandora is the rising silver prices. So let me address how are we tackling this situation. We are doing this while we are providing, and this is very important, a superior consumer proposition to Pandora customers. And we are doing that in line with our DNA and with our vision. We are introducing a very important innovation that we announced today. We are expanding Pandora offering with platinum-plated jewelry, proven on our unique signature metal alloy that we have trademarked PANDORA EVERSHINE. Now with this unique metal alloy EVERSHINE, it has been optimized for platinum plating, which is actually delivering certified tarnish and water resistant as well as hypoallergenic and therefore, the product is outperforming silver for everyday wear. We will be providing more details of this innovation and importantly, on the impact of the business, so we can go please on the next slide. Now with the introduction of platinum-plated jewelry on our signature metal alloy EVERSHINE, Pandora is taking a very decisive step in evolving its product platform and strengthening the long-term resilience of the business. We will be the first jewelry brand to bring platinum-plated jewelry to the market at scale, combining precious metal aesthetics with superior everyday performance. Why am I saying this? In daily wear, platinum-plated jewelry outperformed silver. It does not tarnish, as I was saying before, it is water resistant and it actually maintains brightness over time, which is actually addressing some of the key quality barriers consumers associate today with all silver jewelry. And these benefits matter a lot, because our jewelry is worn every day. We've been talking with consumers, and we have conducted a lot of consumer studies and that actually showed that platinum-plated jewelry is actually to perform at par with silver products. But most importantly, platinum itself is cited by consumers as the second most valued precious material after gold. So, while we are doing that, which is very important as well in addition to offering better consumer benefit, this fully preserves Pandora craftsmanship. Pandora design language, and also, the fact that we can continue to use our hand finished technique. So basically, they allow us to continue to deliver the quality in line with our brand DNA. Now, I'm going to let Andres to go through the financial implications in more detail. But let me tell you that strategically, this evolution is fundamental. As you can imagine, by reducing exposure to silver price volatility and enabling a more predictable cost structure, this is helping to protect our future proof our business model, which is actually reinforcing our ability to deliver meaningful high-quality jewelry at accessible price over the long term. So, this was the main area that I wanted to deep dive with you. And I think now it's a good time to move into guidance for 2026. S,o if you can please put the next slide. So, what can you expect from us for 2026? We are targeting organic growth of minus 1% to 2%. Now this comprises like-for-like growth of minus 3% to 0% and therefore, a network expansion of 2%. Now the like-for-like growth is clearly lower than what I would have liked to deliver in any given year. But of course, we have a few reasons for that. First, we actually do not expect any support from the macroeconomic backdrop right now. It's an uncertain consumer backdrop. We also -- we see the need to step change execution in the few areas that I have just spoke about. Now on the EBIT margin, Anders will give you more detail, but we are targeting 21% to 24% this year. You can read it in a different way. Basically, this is about flattish versus 2025 when we're actually excluding the external headwinds that we are facing. Another way to look into this is that we are continuing to invest in our business while we are retaining high margins. Now regarding current trading, so far this year, we are currently around flat like-for-like growth. With this, I will now hand over to Anders to talk through the details of the guidance.
Anders Boyer-Søgaard: Thank you. On the organic growth, we have already commented on the overall metrics of the revenue guidance. So, I just want to comment on the first purple building block here, the network expansion. We expect a 2 percentage point contribution to revenue growth in '26. There's no doubt that network expansion is still financially very attractive. But in this year, in 2026, we have decided to redirect more focus and resources towards reaccelerating like-for-like. And we will therefore see a somewhat lower growth contribution from network expansion than last year. Next slide, please. On the EBIT margin, the key message I want you to take away here is that we expect the margin to be broadly flat when you exclude the significant external headwinds that we are facing. And you can see in the dotted box in the bridge that we will be facing between 250 and 350 basis points of headwinds this year from the combination of commodities, tariffs and foreign exchange. The introduction of platinum-plated jewelry help offset these headwinds from '27 and onwards, but it will have a quite limited P&L impact specifically here this year. I also just want to update you on 2 of the building blocks in the bridge because they have moved since we last spoke about the '26 EBIT margin back in November. And as a reminder, we said back then that the EBIT margin this year would be around 23% based on a silver price of back then $48. So first, on the commodities. We previously said that the P&L is at least 75% hedged on silver and gold for 2026. And we can now confirm that we are, in fact, between 90% and 100% hedged, which is good news. And the reasons are partly business and partly technical. On the business side, we do see continued growth in the share of business from our plated products. And on top of that, we keep shifting to designs that are less silver heavy. And on the more technical side, we have revisited the forecasting assumption on how silver consumption is flowing through from initially buying silver as a raw material and then through production and then through inventories before being sold. And all of this means that the hit from commodity prices is only between 150 and 250 basis points, as you can see in the bridge. The second bucket I wanted to update you on is the tariffs. And this is a little bit technical as well. Tariffs in the U.S. are paid based on the production cost in Thailand. And as our hedging gains sits in Copenhagen, this means that the production cost in Thailand is based on spot silver prices and not the hedge prices. So, with silver prices increasing significantly since November, the negative impact from tariffs year-over-year is now 150 basis points versus around 60 basis points back in November. You can also see in the bridge that the net operating leverage is flat 0. And underneath that lies that we do keep investing in reaccelerating like-for-like growth. We will not be compromising on that. And then we offset those costs as well as annual inflation and annual salary increases through cost efficiencies as part of the Silverstone cost program. Next slide, please. So now let's look a little bit further out and then look at the EBIT margin in 2027 as well as in the midterm as we transition a part of our business to be platinum-plated. Before talking numbers, I just want to repeat what Berta mentioned earlier on. Platinum plated is, first of all, a great proposition for consumers fully aligned with the Pandora DNA. That is the important starting point. And in that context, the lower production cost is almost just a nice side effect. But what does that then mean for the financials? First of all, after the transition to platinum-plated, then Pandora's P&L and margin exposure to commodity prices will reduce significantly. And that's because the exposure to silver will decrease far more than the exposure to platinum will increase. With platinum-plated crafting, the lower commodity exposure will be partly offset by higher labor cost as it will require more crafting time to work with platinum and plating. But of course, labor cost is a more stable and predictable element than commodities. So, a few more high-level comments to help you understand what we are doing from a numbers perspective. In very round numbers, we will reduce the silver exposure by 80% with this transition. The first 30%-ish percent will be done next year, 2027. The next 20 percentage points-ish in 2028 and then the remaining 20% thereafter. The silver exposure, which remain in place is around 20% of the current exposure and is mainly related to the part of the assortment which will remain being crafted in silver. On the part of the assortment that we convert to platinum plated, the midterm aim for us is to get to a production cost which is in line where we have been operating during the last few years with silver at $30 and below. And thereby, we will be getting to the same gross margin. Initially, the gross margin will be a bit lower and then improve as we scale, learn and optimize. But of course, the gross margin will be much better all the way from the outset than at current silver prices. While we reduced the silver exposure, we obviously get some platinum exposure going forward, but it's far less than what we used to have on the silver exposure. And again, in very round numbers, you can think of it like this. When we reduce the silver exposure by DKK 5 to DKK 6 or $5 to $6, then the platinum exposure goes up by DKK 1, and that's roughly the equation and how to think about it. So, this means that with this transition, Pandora will remain a structural high-margin company. And you can see that on the slide here to the far right, where we show that we expect to get to more than 21% EBIT margin in the midterm. And that 21% EBIT margin is based on a silver price of $82 and tied to a margin of above $21, our free cash flow generation will, of course, remain high as well. So, in essence, this means that there will be no fundamental changes to our business model. And now you will ask about when, what does midterm actually mean? And it will take us a few years to get there, and that's probably as precise as we can be at this point in time. The transition as such of a relevant assortment from silver to platinum-plated will be finalized during 2028. But before we get production scaled, optimized, fine-tuned to the level where we will be hitting the above 21% EBIT margin, we need a little bit more time than 2028. But we will, of course, keep you updated. Now on '27 specifically, the starting point on how to think about that is the guidance that we've given for this year of 21% to 22%, as you can see to the left in the bridge. And at the current silver and gold prices, we have 11 percentage points of headwind next year as a starter as the hedging runs out. In 2027, we expect to be able to transition half of the targeted silver-based assortment into platinum-plated. And this gives us enough margin uplift to keep the EBIT margin next year in '27 above 14 at a silver price of $82 before the one-off transition cost. And the transition cost, that includes some deleverage on our own crafting side as we initially use OEMs to some extent, and there will also be some remelt costs and other one-off costs. And including those transition costs -- one-off transition costs, the EBIT margin next year will be at least 12%. And finally, we would like you to note that there will be around DKK 600 million in one-off capital expenditure that we need to reconfigure our crafting site DKK 300 million, DKK 400 million, DKK 500 million of that is expected to be invested already this year. Next slide, please. Well, you all know that high cash returns have been a part of the Pandora story for over a decade. And that includes last year as well where we returned almost DKK 6 billion in cash. And since the IPO, we have been running share buyback programs consistently and bought back 41% of the shares. And significant cash distribution will remain an important part of the financial algorithm going forward, but with a temporary lower distribution as we go through the transition to platinum-plated jewelry and mitigate the impact from the higher silver prices. As we announced yesterday evening, the proposed dividend to be paid in '26 is DKK 22 per share, and that's up 10% year-over-year from DKK 20 last year. And just to repeat this important message, we do not see any fundamental changes to our business model. So, with the transition to platinum-plated, we will remain a high-margin and high cash-generating company with an annual increasing dividend and with excess cash to launch a sizable annual share buyback program. And in other words, that means that once our plans to transition to platinum plated is further progressed, we will resume our share buyback programs. And with that, I'll hand it back to Berta.
Berta De Pablos-Barbier: Thanks, Anders. So, thank you all for listening so far. I just want to conclude by highlighting just a couple of things. Like-for-like is definitely not where we want it to be right now and not where I think this brand can deliver. We know why we are in this situation, and we know where to act with decisiveness and speed. We are taking decisive action already to get back on track. We will become a design-led company that uses design to drive desire. Then, we will use our strong marketing muscle across more channels to amplify. Today, we have announced our latest new innovation, the introduction of platinum-plated jewelry. This is a highly attractive consumer proposition with a gradual rollout starting in 2026. The world keeps changing. The macro remains uncertain, but we are adapting and we are moving quickly. 2026 is shaping to be a transition year for Pandora. But I do want to emphasize that we see no fundamental change to the Pandora business model. We expect midterm EBIT margins to be over 21%, and the business will continue to generate significant free cash flow. And with that, I think we can open for Q&A.
Operator: [Operator Instructions] The first question is from the line of Chiara Battistini from JPMorgan.
Chiara Battistini: I have 2 questions, one on 2026 and then one on the transition to platinum-plated. On the guidance for full year '26 like-for-like between minus 3% and flat. I was wondering, if you could provide us with a bit more color on how you think about that by region and notably your assumption for North America embedded in the minus 3% to flat. And then on the transition to platinum-plated, I was wondering if you could share a bit more color on how you're thinking about the communication to the consumer as you will approach the launch and the transition, how you're going to -- really the messages that you're going to try to push to the consumer. And how to think also about the pricing these new products versus the traditional silver offer? And actually, just a follow-up on platinum. Are you going to start hedging platinum now or not?
Anders Boyer-Søgaard: Thank you, Chiara, for those questions. I will not go into too much detail on the performance by region. But yes, I think I'll probably just leave it at that. The -- maybe while I'm speaking on the platinum hedge, we will be hedging that exposure is not going to be very big, but we will hedge that in line with our normal hedging policy for silver and gold.
Berta De Pablos-Barbier: Thanks, Chiara. And yes, what we'll be communicating to consumers is what is more appealing to them. And what is appealing to them is that we are launching platinum-plated jewelry. Consumers consider today to be a -- platinum to be high quality. We know -- they know it's a precious metal. And something that we will be emphasizing as well is the superiority performance for everyday wear, which is something they truly care about. The fact that it's tarnish-free, et cetera, everything I just mentioned before. We've done extensive consumer testing, of course, of this product, as you can imagine, and we know that it will be well received. Regarding pricing, what the consumers accept today is that it can be priced as our silver prices are today. So, one by one, basically equivalent.
Chiara Battistini: And just to follow-up on the like-for-like for 2026, I push my luck. Any indication on whether we should be thinking about North America sort of in line with the group level or any reason why to think that the performance should be different?
Bilal Aziz: I think, Chiara, you can assume it will be broadly within that range of 0 to minus 3, it's 1/3 of our business. So, I think that's sensible.
Operator: The next question is from Grace Smalley from Morgan Stanley.
Grace Smalley: The first one, Berta, would just be on the product newness you spoke through. So, it sounds like you're focused on increasing the quality of the newness coming through in order to be more on top of maybe current fashion trends and becoming more relevant whilst keeping the number of SKUs constant. How do you see the opportunity for Pandora to use data insights to -- to more quickly react to fashion trends? And is there a risk that you increase the fashion execution risk of the business that could lead to potentially more fashion misses and increased discounting or how do you think about that? And the second question -- sorry, go ahead.
Berta De Pablos-Barbier: No, go, go. I was going to answer. I was the first one, but why don't you ask the second question and we can just plan them? Sorry to interrupt. Carry on.
Grace Smalley: Okay. Then the second one would just be for Anders on margins, just -- so over time, it sounds like you're confident to return to at least 21% EBIT margins in the medium term. Can you just elaborate further on the drivers to get from sort of the 14% adjusted in 2027, more than 21%. Thank you for the helpful slide with the margin bridge, but in particular, that last bucket on the margin bridge where you're calling out crafting optimization and other factors. Any more color you can give on that to just help us see how you rebuild to that 21% would be helpful.
Berta De Pablos-Barbier: Yes. I'll start with the first question. I think let me step back a little bit. It's very important to say that the fact that you want to be a brand that is on trend, it doesn't mean that we will be chasing trends. And it's a very subtle distinction here. Pandora is not going to become something that is chasing the latest trend, but that doesn't mean that we can be behind either. So something that Pandora has been very good at, and we will continue to be is very data-driven and consumer insights, and that is not going away. What we are adding, and I talked about in the call about bringing Philippa as the Chief Product Officer, but we are also asking Stephen Fairchild, which has an extensive knowledge of the industry and cultural relevance to be there understanding what is culturally relevant and what is on trend. So I think this is the move that we are doing. And as you rightly said, this doesn't mean launching more. As I show in this chart, we've been doing a little bit more of the same. I talk about distinctive newness, if there is any doubt about what that can be, it means that when you look about 1 year after the other, you should be able to see that there has been some change in the products that we brought from the previous year. And that is what we've been having been very good in all the collections, and that's what we are looking forward. So, it's about bringing uniqueness that is worth talking about.
Anders Boyer-Søgaard: And on the other question, Grace, I'm sitting here looking at Slide 24 in the investor presentation as getting from the at least 12% next year to 21%. So those 9 percentage points, if I just briefly comment on that and especially the last one. The first 2 transition costs, they stop, okay, then we get from above 12% to above 14%. The second -- the next one, the transition of the remaining assortment is pretty straightforward, that's another 4 point-ish uplift on the margin. That's simply doing the rest of what we already do in 2027, converting that from silver to platinum-plated. And then really getting to your question, the last 3 points in the last bucket that sits there, there's 3 bigger elements. One is that, we have been perfecting for years to produce in silver. Now, we're moving into platinum-plated, and we'll probably be a little bit inefficient in the beginning or we will be, and then we will get smarter and smarter as the days, months and quarters go by. That's one element in it. We will -- when we get out of '27, still be using OEMs to some extent. So, we will get that in-house afterwards at a cheaper cost that sits in that bucket as well. And then within the -- there will also be some continued optimization of what sits in the EVERSHINE core alloy over time that will come and sit in that bucket as well. So it's all something that we have quite some visibility on how it's going to play out.
Grace Smalley: Okay. And just one follow-up, if I may. On the -- you mentioned how the composition of COGS will shift away from raw materials more towards labor. Is there any way to think about -- I think it's roughly 40% of your COGS in 2025 was related to raw materials and silver was around 30% of that. If you -- as you get more towards that medium-term 21% EBIT margin, how should we think about that composition of COGS and the percentage of that, that you expect to be raw materials versus labor over time?
Anders Boyer-Søgaard: If -- if okay, Grace, if I focus on answering the question on specifically on the products that we are converting from silver to platinum-plated, then roughly what -- how it's going to work out is that -- on that part of the assortment, then commodities, that's silver then in the past few years have been around 50% of the cost of goods sold and labor have been 1/3, 33%, 34% of the cost of goods sold and then the remaining 15%, 16% is sort of all other stuff. Then now as of today, silver is at a much higher price. So that 50% on silver commodities goes to 75%. That's roughly how to think about it. So that's our starting point that today when the hedging runs out, silver will be 75% of the COGS on the part of the assortment that we are converting. Now then we get into platinum-plated EVERSHINE, then that 75% being commodities drops to 25%. So, it goes down by 2/3. On the other hand, labor will go -- will be around 50% of the production cost in -- when we get to platinum plated EVERSHINE. So, I hope that makes sense. A lot of numbers here. I'm throwing at you, but I hope you can make sense of it.
Operator: The next question is from the line of Mr. Chauvet from Citi.
Thomas Chauvet: I have 2 questions. The first one on generally the platinum-plated move. A few questions, if I may. Just to confirm, so silver and platinum-plated products will be sold at the same price in '27 and as long as you sell silver. What is your anticipated mix of revenues if we look far out beyond '27 between silver, gold-plated and platinum-plated relative to 75% silver, 25% gold-plated today? And just so I understand, are you intending to entirely replace the silver offering by platinum-plated in the future? And if Platinum was a superior customer proposition with better economics for Pandora, any reason why it hasn't been done before? Could you perhaps talk about the main disadvantages you see of platinum relative to silver? I understand clearly the appeal and the advantages, but any difficulties that you see? And secondly, on like-for-like, just a follow-up on Chiara's questions earlier. Given your LFL guidance for the year is minus 3% to flat at the midpoint, it implies some deterioration from current trading, which is flat despite easier comps you're getting from Q2. So, what's driving this maybe more cautious outlook. Are you seeing perhaps signs of broader jewelry consumption fatigue, any brand-specific factor? You talked a little bit about design, Berta, earlier. And should we expect any particular region to be under more pressure than it was in Q4 January?
Berta De Pablos-Barbier: Okay. So let me start with your 3 questions under question number 1, but I will address them all. So, on platinum-plated, when we'll be introducing in 2026, the first platinum-plated and even in 2027. The intention today is that they are at the same price that silver is today. Having said that, what will happen with our silver portfolio, that's something that we have to monitor carefully because silver price are increasing, and therefore, we cannot ignore that. The intention is not to replace our entire assortment. We will be keeping some collections on silver. So, silver will continue to be part of our basket of materials. It's just it will not be as dominant as it is today. So today, we envisage that by the time we finish the transition, 25% of our assortment will still remain in silver. If you go back to the aesthetics slide, you can assume that the sparkling aesthetics and the fine aesthetics will continue to be in silver. Why we haven't done it before? Well, if it was that easy, everybody would have done it as well. We've been working on this new metal alloy development, which started with our gold-plated products in 2011, and we have spent the last 18 months optimizing it and perfecting it so that it is better for platinum-plated. So, this metal alloy EVERSHINE has been something that has been a lot of -- the fruit of a lot of labor and high -- a lot of people working on making that possible. So now it's there. We are maximizing it.
Bilal Aziz: Yes. I run the like-for-like question now basically. Thanks for the question there, Thomas. So yes, factually correct. Obviously, comps get easier through the year. I think just kind of repeating what Berta said, environment is uncertain about the early part of the year. We did obviously flag uncertainty in the Q4 release, particularly around the U.S. Let's see how that evolves through the rest of the year. And then last, but not least, just repeating what Berta has said as well, a lot of the initiatives, obviously, back end of the year, December into 2027 as well. So, the combination of those factors is what leads us to our initial thought process. Let's see how we do through the rest of the year.
Operator: Next up, we have Lars Topholm from Carnegie.
Lars Topholm: A couple of questions for me also. One is regarding the core of PANDORA EVERSHINE. If I look at your Golden Rose Gold, you have a Core consisting of palladium and copper and then your secret-sauce. Maybe a stupid question, but shifting to more plating, does that mean you suddenly get a relevant palladium exposure for us to consider? And then a second question, entirely different, but you're talking about a transition period where you use OEM production. And does that imply that you have to make layoffs in the production in Thailand since implicitly those crafting facilities will probably have to do less.
Anders Boyer-Søgaard: Lars, I can take the first one here on the palladium exposure will go up a bit, but it's actually really tiny. So, from a commodity exposure perspective, it's palladium -- sorry, platinum, sorry, platinum, silver and gold, while the others, copper, palladium are really small.
Berta De Pablos-Barbier: Yes. And on the second, Lars, let me take that one. I mean, the good thing about this EVERSHINE metal alloy is that it behaves as a metal exactly as silver in terms of the melting point, in terms of the hardness, et cetera, which means that we can continue to use the same crafting techniques that we use with silver, whether that is casting or the way that we set our stones or the way that we apply enamel, et cetera, et cetera. The plating, of course, indicates that it will be an extra step as we do today with our gold-plated product, that is the plating and the polishing of that platinum. So that is the plan. So, it's more about replacing what we have and increasing, of course, our plating capacities. We are starting already on Vietnam. And as Anders was referring before, this will be a rollout about bringing that more in-house, and it's mainly on the plating.
Lars Topholm: And just a small related question to that. So the 200 bps headwind during the transition does that illustrate the margin you have to give away to OEM manufacturers? Or does it include other elements as well?
Anders Boyer-Søgaard: That's a good question, Lars. There's other elements in it as well. There will be -- and that's going hand-in-hand with paying some margin to OEMs. We will also see some -- what's the right word, deleverage on our own crafting sites because we will be for a couple of some quarters producing fewer units on our own crafting site. So that sits in there as well. Then there's a little bit of scrapping of existing machines, a little bit of write-down of -- sorry, remelt of -- as we transition to -- out of silver and into platinum. But the 2 big buckets in the one-off cost transition cost is OEM margin and deleverage on our own crafting setup.
Operator: The next question is from the line of Kristian Godiksen from SEB.
Kristian Godiksen: A couple of questions from me as well. First of all, wondering what your view is on extraordinary price increases, especially in this market you label as a dynamic pricing environment? That would be the first question. And then the second question would be more on if you've done any or you could give some more flavor into the consumer study you made, both in terms of the differences between the ages in the consumer segment, both in terms of the newness you're contemplating, but also on the introduction of the platinum-plated products. And maybe you could also provide some commentary on the reason why in your brand funnel performance you show on your slide that the most mature segment in terms of age is sliding somewhat.
Anders Boyer-Søgaard: Yes.
Kristian Godiksen: I mean, mature of age, sorry, in terms of the segmentation of your consumers.
Berta De Pablos-Barbier: Great. Okay.
Anders Boyer-Søgaard: Yes. And maybe on pricing question, I can start out. We have included a bit of pricing in the guidance, 2% average price increase is included. So nothing extraordinary, if you will. And so how should I frame this? The silver prices and gold prices are going up quite significantly, but the competitive landscape is, as you know, very fragmented. Some players in the accessible during price points are exposed to silver like we are. Some are not at all. And then you have everything in between as well. And that means that we see that -- see and expect that pricing behavior will be very different by country. We have some markets where we see that the silver exposure is pretty much like ours. We have other markets where we see that many other players have less silver exposure than what we have. So there will be quite some differences between what other jewelry companies out there are thinking reflecting on as of today. Then, I think we also say that, this shock on commodity prices also means that the industry in itself is changing. We know that we're not the only one looking at using other metals, other materials to produce. And that -- that's what leads us to say this is going to be quite a dynamic pricing environment and where in the guidance, we assume that there will be on average 2 percentage points of average price increase. But I can't rule out that it will end up in a different way, but it's not something that we have included in the guidance, if you like.
Kristian Godiksen: Okay. I guess you're mirroring what you said previously on you want to play the back end based on your hedging policy that you're hedged for the full year now for this year. And hence, I guess, you can also do a bit of wait and see on what competitors will do, and I guess we'll follow suit in terms to bring up the margin. Is that correctly understood?
Anders Boyer-Søgaard: Yes. In a way -- sorry, my language, that would kind of be the lazy answer because the fact that we have been -- it's been good that we have been hedged, then that's in a way as a relevant factor on how we actually react. And when we're sitting in France or sitting in the U.S., we should look at what's the competitive landscape. So, if that gives us opportunities to increase prices, we should do that no matter whether we are hedged as not. But of course, looking at our P&L, it gives us another year of good margins before all the hedging runs out.
Kristian Godiksen: But I guess -- sorry for the offset, but I guess you being a market leader in some of the countries, then I guess it would be natural that you would be the one leading such a price increase. I guess, that was -- is that a scenario as well that you would be the leader in implementing price increases?
Anders Boyer-Søgaard: Of course, that's also in the relevant market, that's also one of the factors playing in how we look at it. Yes.
Berta De Pablos-Barbier: Let me just take the second question. I think it was on the consumer age. So, I think a couple of things that are important to know about that is that when you look at the age segmentation, what you see is that the tendency is for to increase on the 18 to 24. We pretty much keep stable on the 25 to 40. And where we normally see declines is that the above 40. So that is a general in Pandora. Now your question was as well by collection. What is interesting is that by collection, we don't see many difference. So, I'm just going to give a couple of points on the new collections that I mentioned before, whether it's on ESSENCE or on Talisman or Minis. We see actually a very similar split on always having a majority of the younger part of the Gen Z, which about 25% of that they come to our collection. The next group is actually the Gen X, and it actually gets after lower when we get into the boomers. So very similar in terms of total Pandora and by the time that we bring newness. On the platinum-plated, we didn't see major difference on the large consumer studies that we conducted. What we did see is that it was a much higher knowledge about the different precious materials and the difference on the older consumer than on the Gen Z. So we found that the young consumers were more open to accept new materials and new metals and that we thought it was just a good idea, the best everyday wear, they were much more positive about that, but there was no barriers on the others because platinum is a precious metal.
Operator: The next question is from the line of Anne-Laure Bismuth from HSBC.
Anne-Laure Jamain: I have 2 questions. The first one is on EVERSHINE. So where the pilots have been conducted for the EVERSHINE? And how will you manage the perception risk around plated versus silver, especially in markets where Pandora trust was built on silver? And the second question is about cost efficiency. So, can you detail some of the biggest of cost efficiencies within the Silverstone program?
Berta De Pablos-Barbier: The first question is on the pilots. Yes. So, on the pilot, we conducted that in all of our major markets. And there was no -- I mean, the consumer today is very used to gold plated products. So, there is no education needed there. They understand that it is a yellow metal called yellow gold, and they can actually buy more accessible products when they are plated. And now they understand that there is a white metal that is called platinum, which is for them is better than silver, and then we are just plating this product. So that was what actually came into that. So, actually, it is -- it was actually around nearly 25,000 participants. So, this was quite large. And as I said, it was conducted on different markets. What we also tested, and it is very important is whether that was impacting Pandora brand image, but how was impacting Pandora brand image. And everything was actually giving them much more positive impression about the Pandora brand, because it's contemporary, it's actually taking care about their needs in terms of everyday wear, as I just said, and is bringing a precious material that is highly desirable.
Anders Boyer-Søgaard: Anne-Laure, on the question on cost efficiencies, there's not one big dominating bucket in the savings that are being delivered. It is spread across. But just to mention a few on store operations and store operations is obviously a big part of our P&L. There we constantly look at how we optimize store -- the roster in the stores or store staffing. The CapEx that we are spending when we're refurbishing stores, how long time is it closed down, it makes a big difference whether it's how many weeks it's closed down. And then beyond that, beyond the rental and the staffing, then you have all the small cost lines in running stores of electricity, WiFi, cleaning. Then there's been a good run on the point-of-sales material and the visual merchandising, getting those costs down. One of the single biggest buckets is crafting and supply that also through '25, and also expected going forward have been really doing well, keeping perfecting how we are producing our jewelry. Then, we have reorganized our procurement organization. And that's -- I think it's just around a year back, a little bit less than a year back, but already seeing really good results from that having a much stronger procurement muscle. Logistics is a decent piece as well where we've been looking at the distribution center footprint that has helped us also with not just reducing the logistic cost as such, but also reducing custom duties. That includes that we have opened up a distribution center in Canada that helps us reduce the custom duties as well. So many -- and it's a long list, but these are some of the areas. So I think important to say, nothing is this where we get into the gray zone of risking top line. This is all sort of tough choices, but the cost elements that are not touching what drives the top line directly.
Anne-Laure Jamain: I have one additional question. So, with gold-plated jewelry, the gold rub off eventually. So what does it look like for platinum-plated, please?
Anders Boyer-Søgaard: Sensitivity on gold, the gold exposure doesn't change compared to where we are today. So roughly, it's when gold moves $100, it's 5 basis points of exposure or so, yes, that's the rule of thumb you can use.
Anne-Laure Jamain: Yes. But my question was more around the evolution of the product with platinum-plated over the years. So will it change because we know that with gold-plated, yes, the product can evolve. And yes, the gold contain won't be that good. So how will it be for the platinum-plated product?
Berta De Pablos-Barbier: I don't understand the question, but I'm just going to -- if it's whether the designs are going to evolve with platinum-plated, the way that we are considering this is about some of them will be replacement. So, there will be no change in design. But of course, then we will be bringing more newness with platinum. If the question was about the durability of the metal, then the great thing about platinum is that it's highly durable. So silver tarnish, whereas platinum doesn't. Silver loses a little bit the brightness, whereas platinum keeps and also keeps the color. And when it age, it age, I can tell your French accents, but it's a little bit with more of a patine. So it's actually a more novel way of aging.
Operator: The next question is from the line of Andre Thormann from Danske Bank.
André Thormann: Just 2 for me. First of all, on the platinum-plated. Just to be sure, how flexible is this plan if silver price come back in $20 or $30 per ounce? And maybe also on the share buyback, what milestones is it you need to see on the platinum-plated in order to restart the share buyback program? And then maybe lastly, on the price elasticity, previously, you have said minus 1. Maybe it looks a bit worse now. I mean, can you give an update on where you see price elasticity?
Berta De Pablos-Barbier: Okay. So let me start by the flexibility and then Anders, you can comment. So, we are not coming back. I mean, the reason why we are doing this is because we believe it's a better proposition for the consumer. And what it's doing is actually making us much less dependent in one commodity. I mean, you all know that being so dependent on only one commodity for any business, no matter which industry you play is high risk. So, this is about reducing the commodity and increasing our basket of materials. Now fundamentally, as we are not changing our crafting techniques that we could put in our facilities one or other metal that is not an impact, but it's more about why we are doing this and what is actually allowing us to do for the business.
Anders Boyer-Søgaard: And then Andre, I can take the question on the share buyback, and I'll start a little bit in a different place. Our capital structure policy is to have a leverage of between 0.5 turn and 1.5 turns of EBITDA. And with the dividend that we are paying out in '26, if you do a little bit of math with the margin guidance or margin guidance we have given for '27, then you would be able to calculate that we would be slightly above the high end of that leverage range even without the share buyback next year. That's the starting point and that assuming that we land at an EBIT margin of 12%. So, I think with that, I think it was a prudent approach for us to sort of gain a little bit of time going through this transition. And then as we get further visibility on that the transition to platinum, then we will be reconsidering initiating the share buyback program. So, the trigger point is also simply a part of gaining time getting through this transition where there will be a temporary dip in EBIT, which, of course, drives up leverage. Could it be ruled out that we would do a share buyback program where we will be a little bit above the capital structure policy for some time? I guess, as long as that's sort of a clear path towards getting down towards into the leverage range. I guess that's not a stupid idea. But as of today, February 5, we think it's a little bit too early to do it.
Operator: And with this, we've come to the last question from the line of Anthony Charchafji from BNP Paribas.
Anthony Charchafji: This is Anthony Charchafji from BNP Paribas. Just 2 questions. The first one is very simple. It's just asking if we are going a bit more towards, I would say, luxury positioning rather than mass market. And my second question is on the project pipeline this year. So if there is any newness this year in the Core or the Fuel and also how to think about working capital and inventories in the next 2 years of transition?
Berta De Pablos-Barbier: Let me start. No, there is no intention of changing the positioning of Pandora. Pandora is a desirable jewelry brand, is delivered as a desirable jewelry brand and will continue to be so. If we were moving to luxury, we might not have gone to all this hassle of changing silver because we could simply have maybe increased prices. So this is actually a move of delivering a very good consumer proposition, but actually keeping the accessible prices. So I think that is important. That is very clear. The second question was on newness on Core and Fuel with more. So let me explain a little bit how we operate at Pandora. It normally takes around 18 months from the first sketches from our creative team until we see the product in the store. So we have new team. Philippa is starting. So it's going to take us some time to shake and change and reset some of the designs that we have, specifically on our Core. We started already with some distinctiveness newness on ESSENCE and on Talisman and on Minis. So you should expect to see more of those because it was something that we started last year. And what you should expect to see more of is that we just started the year with a great collaboration with Bridgeton. We are emphasizing that to draw more attention into the products that we currently have. And of course, where you will start seeing more differences is from 2027. But we are moving with the speed and maybe by quarter 4, we'll have something more as well, but that's the situation today.
Anders Boyer-Søgaard: And then, Anthony, on the question about inventories, I think the way to think about it is 2 phases. or maybe 3 phases, even there's a phase between now and this summer where we have hedged all the purchases of silver at a low price, just above $30. Then that's Phase 1, so to speak. Then Phase 2 will be in the second half of this year where we have not hedged at this point in time, the purchasing of silver. The P&L is hedged, but not the purchasing of new raw silver. That will then happen at the spot prices. So there will be a period of time where inventories will be going up because of that. And then the third phase is that we will start using less silver step by step by step as we convert to platinum. And that's then Phase 3 that eventually will end that inventories haven't modeled that all the way through, but be at the levels where they were historically, maybe even a little bit lower because we have the overall commodity exposure will go down. So we don't need as much of commodity inventories. But for this year, specifically, if we look at it from a calendar year perspective, the cash conversion will be impacted by inventories ending the year higher because we will be sitting with silver on the inventories, as of today, just around $80 per ounce. I hope that helps.
Bilal Aziz: Brilliant. On that note, thank you very much for taking the time. And any questions do follow up with Investor Relations. Thank you.